Conversation:
Karol Prazmo: Ladies and gentlemen, good morning, and welcome to the mBank Capital Markets Day. My name is Karol Prazmo, and I'm the Managing Director for Treasury and Investor Relations. Thank you for joining us here in the mBank Auditorium via remote, through your tablets, computers and TVs. This is a very important day for us. We will outline the strategy of mBank Group for the next 5 years. The CEO and members of the Management Board will outline their vision, aspirations and strategic goals for our future. The title of the strategy is Full Speed Ahead. [indiscernible] but with us for the next 2 hours as we outline the strategy that symbolizes the momentum and the strong [indiscernible]. Now let's begin. I would like to invite the President and CEO, Cezary Kocik to join the stage.
Cezary Kocik: Thank you, Karol. Good morning, ladies and gentleman. Today's a very important day for us. Just in a few moments, we are going to present to you our strategy for the next 5 years. The strategy was developed by [indiscernible]. So let me introduce, Krzysztof Bratos, Head of Retail Division; Adam Pers, Head of Corporate Division; Krzysztof Dabrowski, IT and Operations; Pascal Ruhland, our CFO; Katarzyna Piwek, Deputy Head of our HR. Today Katarzyna is [indiscernible]; and Marek Lusztyn, our CRO. So let's get started. We stand in a povital moment in mBank's history. Over the [indiscernible]. Today, I'm proud to present our strategy for 2026, 2030. This was developed in line with our mBank's [indiscernible]. We have proven that we are able to grow organically. [Audio Gap] What powers our organization? It's our people, our brand and our technology. The digital world is our natural environment where we stay the course and set the pace. What is incredibly important is that we do this responsibly, ensuring our client safety. We are proud to have the strongest brand in Polish banking sector, not just in recognition, but in emotional connection. Our employee engagement score places us in a top quartile in Europe. And our digital-first mindset and Gen AI deployment are not just aspiration. They are a fact. This is the mBank DNA, agile, innovative and deeply human. We have overcome challenges that once constrain us. The legal risk related to FX mortgage loans has been largely mitigated. At the end of June, we had only 10,000 active Swiss franc loans, but now it declined to only 8,000. We are now ready to navigate at a full speed with the [indiscernible] wind lifting our ambitions. Our capital base is robust with a safe buffers, giving us room to grow dynamically. We have achieved it, thanks to our effort, securitization transaction, issuance of AT1 capital and retention of profits. And our profitability is among the highest in the sector with return on tangible equity at 21% in the first half of 2025 and as much as 38.5% in the core business, excluding the impact of FX mortgage loans. Thus, we are embarking on the next chapter of mBank's growth with strength, clarity and determination. Full speed ahead is our strategic motto. It means scaling with purpose, innovating with discipline and growing with our clients in a profitable way. It's about being smarter, more convenient and more connected in every market where we serve our clients. In the past, we have already shown our ability to dynamically extend our market shares and growing organically at the pace comparable to the one setting the strategy. In the 5-year period, before the peak of the Swiss franc saga in 2022, we increased our market shares in retail loans and deposits by 2 percentage points and in the corporate loans by nearly 1.5 percentage points. Maintaining a similar growth trajectory will be essential to delivering on our strategic ambitions by 2030. Our key strategic target is to exceed 10% market share in 2030 in loans and deposits across both Retail and Corporate segments. This is not just about number. It is about our ambitions to be a top-tier universal bank. We have already made a significant progress. And already, we are the Poland's most successful growth story in the banking sector. Now we are accelerating and positioning mBank for growth. We want to grow dynamically, but not only in volumes. Thus, efficiency will be our backbone. We will maintain a cost/income ratio below 35% and deliver competitive return on tangible equity above 22% during the strategic horizon. Starting from a net profit for 2026, we will resume dividend payments with a target payout ratio of 75% by 2030. Consequently, our net profit is set to triple until 2030 compared to 2024, which shows the magnitude of the future value for our shareholders. We are building a compelling investment case based on a profitable growth, resilience and shareholders' returns. Now let's explore the pillars and that defines our strategic direction. Our purpose is simple, yet powerful, simplifying finances, helping bring goals to life. We have always believed that simplicity is the ultimate sophistication. We have shown it by solving hard problems in a way that feels easy for our customers. This is not just about banking. It is about enabling dreams, whether it is a first home, high-performing company or a secure retirement. We are here to make those journeys easier, smarter and more human. mBank's strategy for 2026, 2030 will be based on 3 pillars. The first one is life cycle-based growth. We grow with our clients, adopting our value proposition to their life moments and evolving needs over time. The second one is customer excellence. We're simplifying financial journeys and deliver delightful experiences. The third pillar is our organizational excellence. We empower our people and leverage technology to scale impact. These 3 pillars are not isolated. They are interconnected to better drive our transformation. We integrated sustainability into everything we do, not as a checkbox, but as a core belief. Our employees are the engine of our growth. The commitment, creativity and culture make mBank exceptional.
Karol Prazmo: Thank you, Cezary Kocik, for setting out the strategic version. Ladies and gentlemen, now it will be time to learn about the upcoming journey in detail. Before we go there, I wanted to tell you more about today's event. The presentation of the strategy will take about one hour. Then my co-host and mBank's Head of Investor Relations, Investor Relations, Joanna Filipkowska, will lead the demo session, during which we'll show you 5 examples of products and solutions that will be rolled out during the strategy and on which we have significant advancement. You will have the opportunity to ask questions, both here in the room and in front of your screens. And note to our online participants, please use the chat box within the live stream to submit your questions at any time during the event. And without further ado, it's time to learn about the upcoming journey in detail. I would like to invite Vice President of the Management Board for Retail Banking, Krzysztof Bratos, to the stage.
Karol Prazmo: Krzysztof, mBank's client base has always been unique. What is so special about our client base and what's in store for them in product terms in this strategy?
Krzysztof Dabrowski: Thank you, Karol. Thank you, Carl. Our CEO talked about favorable demographics. And indeed, it's the age of our clients that makes us very special on a Polish banking map. You see we've always been loved by younger generations. And luckily, this is still the case today. 74% of our clients are still below the age of 46, and that's a very important threshold. We estimate that in between the age of 46 and 55, that falls to the so-called the peak earning period. So this is when the retail clients accumulate the most of their assets, hold most of their products and together with their banks, generate the most of the revenue. One could say that revenue-wise, the future is still bright and is ahead of us for both of our clients and ourselves as a bank serving them. You could say that we already have clients that others need to chase. And for this very reason in this strategy, we're going to primarily focus on our existing clients. But focusing on your existing clients means that you need to serve them at different ages and serve their different needs and those needs evolve. And this is why in this strategy, we want to evolve from being an exceptional transactional bank that we are for sure today already into a long-life partner that helps our clients with the long-term goals. This new strategy will see an introduction of more of a long-term products like savings, digital mortgages and investments from day-to-day trading up to the planning for your pension.
Karol Prazmo: Krzysztof, you spoke about the client base. You spoke about the products, but how will we support the financial well-being of our clients?
Krzysztof Dabrowski: And this is a very important part for us, and we treat it with a huge responsibility. We believe that the products, even if digital, simple, intuitive are not enough by themselves. We want to help our clients navigate them all, but also use them wisely. We want to help our clients take care of their financial well-being, and it's going to be an important part of our strategy. And we're going to introduce it twofold. Firstly, we're going to help our clients take care of their day-to-day life, to make sure that they stay safe online, that they spend less than they earn, build financial cushion, keep loved ones safe and borrow responsibly. We're going to help them with that by introducing a financial health score, but also a set of contextual tips and communication and education to make sure their day-to-day life is in order. This will be a foundation of our financial health being. And once this foundation is set, we'll help our clients with the second part. That second part will be a set of digital financial planning tools, but also support of our experts that will help our clients plan holistically all of those complex products in one cohesive plan from planning for your pension to planning for your children education to saving for your first home. We aspire for the 50% of our clients to be financially healthy in 2030.
Karol Prazmo: We now understand the focus on financial health and the product offering for every stage of life. What will this mean for the growth in the number of active clients?
Krzysztof Bratos: So here is where I need to mention our demographic premium once again. 78% of our 35 years old clients have a junior age child, but also 1.5 million of our clients, those aged 35 and 50, will soon be guiding financial decision of their parents. This creates a tremendous and valuable ecosystem, the one that we want to build on. We wanted to pay off for our clients to be here at mBank together with their children, their partners, their parents and even their friends. We want to grow through our clients and not chasing sometimes very expensive external acquisition. We believe that this will strengthen the loyalty of our clients, but also allow us to grow in a very, very efficient way.
Karol Prazmo: Krzysztof, you've given us a lot of insight about the priorities for Poland. What are the strategic objectives for operations in Czechia and Slovakia?
Krzysztof Bratos: We've created One mBank strategy, and this means we'll be doing a lot more together with Czechia and Slovakia. We believe that only an aligned platform approach is the way to build things in a scalable and efficient way, but also set a foundation for potential expansion into other foreign countries in the future. In this strategy, we'll bring to Czechia and Slovakia solutions that already exist in Poland, especially for the affluent and SMEs. What will make this Czechia and Slovakia strategy is slightly distinctive will be a bit more focused on external acquisition. As in here, we want to catch up and be the market share wise at the same stage that we are already in Poland. This should convert into having 1 million of active customers in 2030 and through them doubling our loan volumes and almost doubling our deposit volume. We believe that this approach will not only accelerate the growth of those foreign markets, but also we bring tremendous benefits as an innovation for the whole group.
Karol Prazmo: You talked about the product offering for affluent and SME clients in Czechia and Slovakia. Can you tell us more about these 2 segments in Poland?
Krzysztof Bratos: I started my presentation today talking about the younger people joining mBank. But truth to be told, they joined us 10, 15 or 20 years ago, and we meet them here in Poland every day. And since then, they grew, their little student account is now an affluent account. Their little start-up is the well-prospering enterprise. But then the most beautiful thing is they actually grew with us and they stayed. And we have proof for that. 73% of our affluent clients have been with us for more than 10 years. Also on the SME side, 71% of our high potential business clients have started with us as a little startup. But best of them all, 70% of our business clients are also our individual clients. It's a tremendous and valuable 2 segments that we call the super segments. There is more number standing behind it. Our affluent clients are responsible -- or not responsible. Our affluent clients constitute only 27% of our client base, but yet generate 70% of individual revenue. The high potential business clients, we call the clients who generate EUR 1 million annual turnover, they constitute only 30% of our clients, but generate half of the SME revenue. They're valuable, loyal and high potential clients that with a little extra care, with a little appreciation that they absolutely deserve and with a little bit of additional products can flourish even further together with us. And this is why this new strategy will see the significant focus on the affluent and on the SMEs in their upper levels.
Karol Prazmo: Now that we know more about these 2 segments, can you tell us about how you want to deepen the relationships with affluent and SME clients?
Krzysztof Bratos: We strive to create the best-in-class value proposition for the modern affluent, starting with daily banking excellence through global traveler benefits, but also your lifestyle benefits that you can use here in Poland. But maybe most of all, we want to elevate their service. We want to show them that they're appreciated and they can have a fast access and fast track to some of our services. In some cases, we will even go as far as introducing a dedicated adviser to our clients. This will be new for mBank. We believe that once you get to the more complex stages of your life, you do need to speak to a person regardless of how sophisticated your digital solutions are. We want our clients, our affluent clients to feel like in a private banking, but of course, in a very digital, a very modern and a very mBank way. We strive to serve 1.4 million of those affluent clients at the end of our strategic horizon. And we're going to do exactly the same for our SMEs, so SME plus, how we call them. We want to expand our financing solutions as their needs grew over those last 10 years. We will also introduce additional products known mostly from our corporations world like mLeasing, but then with a fully integrated version with our banking app. And similarly to affluence, we'll go as far, in some cases, introducing also dedicated advisers who will help them flourish and develop. This should convert into serving 120,000 of those high potential firms at mBank. And obviously, that is naturally before we will help them transition to the full corporations world.
Karol Prazmo: Thank you, Krzysztof Bratos.
Karol Prazmo: Ladies and gentlemen, now that we know the plan for the Retail segment, let's talk about our exceptional Corporate and Investment Banking business. I would like to invite Vice President of the Management Board, Adam Pers, to the stage.
Adam Pers: Good morning.
Karol Prazmo: Adam, can you tell us about the growth aspirations for your business?
Adam Pers: Of course, thank you. Good morning once again. Today, I will be talking about the Corporate Banking strategy, but let me start shortly with the reference to our CEO, Cezary Kocik. He said that most of our bank is full speed ahead. And we decided with our team that we will translate it into Corporate Banking language, which is what you see on the slide, this is long-term business growth. And it's going to be the most important sentence in our strategy. And the question is how we're going to deliver that. And we decided jointly with our risk colleagues that we will grow in the sustainable transition and sustainable finance. But what is important, we defined 6 perspective industries. We'll talk about that later. But we cannot forget about strengths. Strength, which means structured finance, investment banking and international banking. But what we need to deliver this growth, which at the end of the strategy should let us reach that market share in the amount of 10%, which translates into PLN 20 billion net growth. We need something that we call exceptional unique hybrid model. We need organization excellence, which is built on digitalization. But going forward with the strategy, we will add the AI component. And sorry, I used the word last but not least, is our people. Our people created the strategy and our people joining with us with the Board will deliver the strategy. So we need them motivated and highly qualified.
Karol Prazmo: Adam, you referred to the best unique hybrid model, what exactly is behind this concept?
Adam Pers: Yes. It requires explanation indeed because here, we talk about 3 pillars. The first pillar is we call them -- we call it remote but digital. The second pillar is remote, but human, and the third one is offline. This remote digital, I will talk also later on during the strategy, the presentation. We're talking about the new mBank CompanyNet, so our main gateway to the customers. And we're talking about the fine-tuning of mobile banking. And this will create something which we call virtual branch. But customers also sometimes need the contact with the person. So if, for some reasons, the customer will not be able to self-service the digital channel, then we have dedicated contact center, which is only for corporate business. And why we are doing so? We are doing some because we want our offline channel, which means relationship manager to have enough time to talk to people, to talk about the business, talk about the transactions, et cetera. And they will be supported by top best-in-class product specialists. These all 3 pillars constitute the what we call best unique hybrid model.
Karol Prazmo: Adam, and going beyond the service model and into the client base, can you tell us about the specific growth strategies for each of the 3 corporate client segments?
Adam Pers: This slide requires a little bit of explanation because as you heard, we're a universal bank. You already listened to Krzysztof's strategy where we have different type of customers. And within the Corporate Banking, we also have relatively small and not sophisticated customers, which is the K3, and we have also large corporate, which is K1. And let me start with the latter one. So K1 customers, this is the segment that, for some reasons, in a couple of last years, we were not so active. Now we want to come back to something, which we called bigger tickets. So we will be more present in this segment. But definitely, we offer them more sophisticated products like M&A, structured finance and all these complex products. But if you talk about the biggest engine from the volume perspective, it's definitely going to be K2, which is our midsized corporate segment. And here, we have a combination of complex product like investment banking, sustainable finance. But at the same time, we know that a significant part of the financing in this segment is relatively small ticket. That's why we will offer so-called fast-track credit process. But as I said, this is going to be the biggest engine from the volume perspective. But from the, I would say, biggest change, it will happen in K3 segment, which is our corporate SME segment. And here are the challenges or targets. First of all, we would like to double number of active customers. Here we're talking about the active customers, not just open accounts, and it is going to be credit customers. Second thing, we want to offer them -- we call it semi-automated credit path. And if you allow me, I will, in a few sentences, elaborate how it's going to work in real terms. Our aim is that customers start the journey in the CompanyNet system. So the application for the loan will be done in the system, then the loan will be done on a semi-automated way. And finally, signed agreement and disbursing the money will be done also in the CompanyNet system. And at the end, we are taking our end-to-end process, which means that the managing the loan going forward will be done also in this process. And what is our ambition? We are starting from 0. I think we are transparent here. And we want to reach 40% of the double number of credit customers at the end of the strategy horizon.
Karol Prazmo: Thank you, Adam Pers. We'll be back with you in a moment. So please don't go anywhere. And ladies and gentlemen, I would now like to go into corporate credit risk and the industries that we want to focus on. And this, I would like to discuss with our Chief Risk Officer, Marek Lusztyn.
Marek Lusztyn: Good morning, everyone.
Karol Prazmo: Marek, where should we expect growth in the corporate portfolio as we roll out this strategy?
Marek Lusztyn: So as Adam said, we have asked ourselves what will make Polish economy tick over the next 5 years. We have asked ourselves what our clients will face, how we can help them in benefiting from those trends. And we have identified 6 big trends, 6, how we call it, big shifts that Polish economy will face until 2030. And we want to support our clients in that specific shift to make sure that they are benefiting from those. First of all, and that is not surprise to anybody, it's energy transition. Second of all, it's green economy and sustainable finance. Then we have identified localization of production, automation and robotization of production as the next big shift that Polish economy is going to face. [indiscernible] were alluding to the demographic shifts in our retail base, but these demographic shifts are not only related to our retail base, it is also something that our corporate clients are going to face, and we want to help them in that shift as well. So the help in financing, free time economy and health care is the next one that we will zoom into. And finally, I guess this is also not a surprise to anybody, defense. I would like to highlight that it is not a new area for mBank. We are going to capitalize on existing expertise and sometimes even on us being already a clear market leader in some of those segments. When we think about quantitative KPIs that we have put in front of ourselves for our corporate portfolio, the first one is an increase of sustainable financing in an overall corporate portfolio from 11% in 2024 to 15% by 2030. And as it comes to our ambitions in supporting those big shifts, in supporting our clients in benefiting from those big shifts in the Polish economy, we would like to increase the share of financing of those from 20% at the end of last year to 40% by the end of strategy horizon.
Karol Prazmo: Thank you, Marek Lusztyn. Now let's return to the strategic plans for Corporate and Investment Banking. Adam Pers, back to you. Poland is the fifth largest economy in the EU, and we're part of Commerzbank Group. What does this mean for us in terms of cross-border opportunities?
Adam Pers: Thank you for this question, but let me top up 3 facts. First of all, Poland is the fifth biggest economy in European Union, and we probably exceed EUR 1 trillion nominal GDP. This is a very important fact. And if you look at mBank and Commerzbank, mBank is a very strong player in the Polish market. Luckily, we have a foreign investor who is very active in the most developed economy in Europe, which is Germany, but is also present internationally. I hope that you see that on the map. And when we want to develop the growth in more sophisticated products, let me start with the presence in Poland. mBank in Corporate Banking is famous for its competence in the structured finance, both on the corporate sales side and risk area. And our aim is the following: to be market leader in structured finance, to be the bank of the first choice for the private equity, which was the case over the past few years, and finally, we want to constantly deliver new products to more sophistic customers, like we did in the past years. But going abroad and going to the cooperation with the Commerzbank, our plan is to help our customers to go internationally. And we're going to support customers in 2 dimensions. The first dimension is the opening account and, let's say, working operationally in the foreign market using Commerzbank network. But we see that and we read in the press that going forward, our customers are more and more active buying the competitors even in the western part of Europe. And in this journey, we would like to be active, and we would like to be bank of the first choice for the customers. The opposite direction, we would like to continue and even further strengthen the cooperation in which we invite foreign customers to Poland and we have to be, let's say, the biggest gateway for the customers that have accounts with Commerzbank, but also for the customers that are entering Polish market and want to set up the relationship with the bank. And finally, Recently, we started quite actively the journey with Commerzbank on the treasury bond market. And in this respect, we want to grow going forward over the strategic horizon.
Karol Prazmo: Thank you, Adam Pers.
Adam Pers: Thank you.
Karol Prazmo: Ladies and gentlemen, this concludes the first strategic pillar life cycle-based growth and now we move to the second strategic pillar, customer excellence. And we will again start with Retail Banking, Krzysztof Bratos, welcome back to the stage. Krzysztof, what innovations are we planning to make mobile banking feel even more effortless and intuitive?
Krzysztof Bratos: We believe that mBank has been setting standards in the mobile banking and digital banking for quite some time already. But truth to be told, the world doesn't stop. It changes. It evolves, not only in the banking ecosystem, but also in the fintechs that are already in Poland. Also, around 10 years ago, average banking app was providing just a few, maybe 15 products in the banking ecosystem. Today, it's actually tens of products and tens of services. It takes a fresh look on how you navigate them all and how you use them all. And we've decided to take that fresh look. And we've decided to do another just tiny uplift, but a significant upgrade on how we use our application. We're going to introduce the 3 major innovations. Firstly, we're going to put a new application architecture, the way you find your services, the way you find your products and how you navigate it all. We'll also add high personalization. Me, my wife, my kids and my parents, we use mBank app in a completely different way as we need different products and different solutions and will allow our clients to customize it. Secondly, we will provide more of an instant feedback by automating more of our sales processes, but also those post sales and give that client a sense of control that whatever their click is happening instantly. And then thirdly, we're going to introduce a redesigned communication system with a new graphics, emotions, even videos or even haptics, the solutions that you have seen already in the different industries and you happily use. So why not in banking? We believe those 3 innovations will contribute to creating and still having a very simple and very intuitive app, but yet the one that can handle the complex world's needs while staying modern and fresh. But what if all of that was not enough, and you actually needed to go a step further in today's world. What if you all could actually talk to it? Ask it, how much I spent for my last trip in Barcelona? Or what is the status of my complaint? Or perhaps what can I do with my PLN 10,000? What if you could do it all in a natural language, maybe sometimes even with spelling mistakes, of course, while staying in your safe banking environment. Would that be another chatbot, assistant 2.0 or something a little bit more than that. And here, I would love Krzysztof Dabrowski to share a few words about it.
Krzysztof Dabrowski: I will be happy to do so, but I would like to also enlist a little bit of help from our guests, if I may. I will not ask you if you ever use a banking app because I can safely assume you did. But may I ask you, who of you ever used any banking chatbot or assistant? Raise your hand, please. Okay, and -- quite a bit. And who of you think this assistant was not particularly smart? Raise your hand, please. Thank you even more. That's a bit surprising. But thank you for your support. And it will not be a surprise to you probably that we do share your view. So with the help of generative AI, we would like to take this experience in mBank to another level. So first, we -- there are 100 ways of asking for the same thing, and we don't want our customers to guess the correct question. It's our task to guess the correct answer. Second, most of those assistants that you do not find very smart are just a giant knowledge basis and not particularly even good at answering the questions. We would like to teach our assistant a lot of verbs, More than 200 of them actually, to make it very, very helpful and providing services to our customers, not only answers to the questions. And last but not least, we will combine it with all of the data we have about our customers to provide a personalized experience. So this will not feel generic. This will feel like the assistant is there just for you to serve your needs and knowing a lot about you.
Krzysztof Bratos: Thank you very much, Krzysztof. So not just simple questions, but definitely actions. Over 200 of them also executed through the voice. We believe that this is not another assistant, not another chatbot, but the very beginning of a new channel of how you can use your app and how you can use our bank. We believe that this is the very beginning of a conversational banking. Thank you.
Karol Prazmo: Thank you, Krzysztof Bratos. Thank you, Krzysztof Dabrowski. And now I would like to invite Adam Pers back to the stage, please. Adam, what can you tell us about what will change in the way that you interact with customers in the Corporate and Investment Banking area?
Adam Pers: Thank you. I have the impression that while I was describing the hybrid model, I already promised a lot. So now I will be talking about how we deliver that. And let me start with the CompanyMobile, which is definitely the application for relatively small customers. And here, we will focus on base modules, which is FX, payment, BLIK and all this, I would say, that we need on a daily basis. But what is extremely important is, we gave -- we received the feedback from our customers that in case of CompanyMobile, apart from feature, also security is as important as those features. So definitely, the second part of our, I would say, development of CompanyMobile will be the security of this application. But the main change will happen to the CompanyNet system, so our core gateway in the digital world. And here, we will implement new modules or we modify the modules. Let me start with the so-called personal dashboard, personalized workspace. Why we are talking about this solution at first? Because as I said that we have different kind of customers, relatively small and relatively complex. And my personal experience that when I have application, not necessarily banking, but any other, and I can adjust the application going through 100 or 50 questions, it's relatively difficult to go through this. And here, we would like to build a system that almost automatically adjust to the company and adjust to the so-called personas or to the person working with the application. So it's going to be convenient, and this is the most important word. Second thing is we'll be working on the payments module. But what is important, we will build new, we call it, liquidity module. This is something that will truly use the AI because it will be analyzing the history. It will be analyzing the current situation of liquidity of our customer, and it will give some advice. And let's imagine that the customer may need some loan in the future. I hope that having the next module, which is the expanded loan module, the customers will be able to apply for a loan and potentially sign and disburse also in the component system. I already mentioned that what we are cooperating with Commerzbank and we want to go abroad with customer and invite foreign customers to Poland. That's why we will pay special attention to FX model. And last but not least, here, you can see our ambitious target, which is 80% of every interaction with customers done in the digital world. And what is important, this is end to end. So it is for the customer digital, but also finally, in Krzysztof Dabrowski area, operation also end up in a digital way. And we would like to deliver that by enhancing the so-called self-service via virtual branch. And the last thing, which is very important that our current CompanyNet system, which as I said, we have to rebuild, because the customer needs more perception of top 3 on the market. And our ambition target is to be at least #3 from the perspective of our customers, how they see this application.
Karol Prazmo: Thank you, Adam Pers. Krzysztof Dabrowski, Adam Pers spoke about all the enhancements to mBank CompanyNet and mBank CompanyMobile. Can you tell us about what is happening on the back end to make all of this possible?
Krzysztof Dabrowski: Yes. I'll be happy to say. But before I will tell you what we just did because I think a bit of a history is important here, and it is a good history. I'm actually very blessed with the business colleagues that you've just seen in action who are very ambitious. They have -- they set themselves very high targets and they have this tendency of actually delivering them. So IT has not to be the road block, IT has to be an enabler and a helper. And one of the very important aspects of IT in banks are the core systems. And I've been on the AKF, this is the Polish gathering of all of the banking industry last year. And there was a large roundtable, around 12 participants from all of the major banks in Poland. And the question was, what do you do about the modernization of your core system? And I was lucky because I was sitting, like, I was like the 9th. And they were -- the answers were like, we are not touching it. We are thinking. We're analyzing. That's too complex. And my answer in June was, we are going to finish it this year. And you are first to hear it that as of today, both of our core systems, the Corporate and the Retail are modernized, are taken to the modern technologies. And all of our customers are right now on the new platforms without even noticing that because we did it in parallel with the normal business growth, and we did it without stopping the bank. Why we did it? We did it in order to do the next steps. We wanted to get rid of the legacy that we have. We are a relatively young bank in the grand scheme of things, but we also had our legacy because I would say, majority or vast majority of our employees were not even around when we implemented those core systems. But now when we migrated to the better solutions, we can do the things that we plan to ourselves in the strategy. So the most important program in IT has a very short name. And in the spirit of saying not a lot but doing quite a bit, we are going to make our bank 24/7. In Retail, it may sound easy because Retail in our case, is already running 24/7, but the remaining problem are the technical breaks. And it will take a bit of heavy engineering to reduce it down to almost 0. But for the Corporate Banking, it's a bit of a different challenge in mBank because our Corporate Banking is not working 24/7. It's not working over the weekends, and it's not working during the night. So we are using the opportunity that we get from the fact that we have to support European instant payments, but we want to take it to the next level in an mBank fashion. So we want to give access to our corporate customers to the majority of the important products 24/7 and to extend the availability of the rest through the weekend. We think that this will be the great basis for our business to grow further. The other important aspect that I'm responsible in the bank is the security. And to tell you about the security is a bit harder than to tell you about the IT because we just don't have this one grand project. In fact, we have really a couple of dozens of projects that we want to do in the time frame of the strategy, and we group them into 3 pillars. And actually, they don't change. So these are the same pillars that we were having so far. So the first one is the cybersecurity. Obviously, substantial part of the trust that customers put on us is coming from the fact that we are offering them a security. So cybersecurity in the sense of defending the bank, but also helping customers defending themselves, this is a crucial aspect, and we are going to continue investing in this area. The other part, which is no less important, is antifraud. The fraud is, let's say, ongoing daily burden for our customers. The trends are not actually good. It's actually getting worse from the customer's perspective. So mBank is here to protect them. We will extend our anti-fraud systems, but also we will deliver more self-service to the customers. So if actually something bad happens, the customers will be able to help themselves. And last but not least, we strongly believe that humans are the best firewall for all kind of bad things. And we are probably the first bank that's really invested in the broad communication to the Polish society about security. We've been running public campaigns aimed not only at our customers, but at all citizens of Poland because we believe that the customers who are aware of the security risks are the customers that can better protect themselves. On the other hand, we are also investing in our own employees because they can protect the bank, but they could also protect both the customers but also their friends and their neighbors. And those 3 pillars form together our security strategy.
Karol Prazmo: Krzysztof, and with that, you've brought us to the end of the second strategic pillar, which is customer excellence. And now we go into the third strategic pillar, organizational excellence. And I want to stay with you, and you spoke about AI and conversational banking earlier during the presentation. And can you tell us about the other places where you and your team will be deploying AI?
Krzysztof Dabrowski: Okay. So you've heard a bit about AI from my colleague's presentation. These are the, let's say, the large business applications of the AI that we are doing together. But we are treating this concept very seriously. And on top of everything, we are also running our own incubator for those solutions because we believe that we need a deep focus and a lot of acceleration to really make it happen on a daily basis here in mBank. I'm not going to be able to take you through all of the things that we are working on. And on the other hand, I'm not going to tell you what are we going to do 3 years down the road because on one hand, I probably don't know actually. But on the other hand, we wouldn't like to reveal too much to our competition. So I will just explain you and show you 3 solutions, and they are at the stage that either they are already in production in mBank or they will be very soon. So I'm not going to spoil the market success. So the first one is what we call the deep customer understanding. The banks have a lot of data about customers. And historically, we've been all very, very good in analyzing this. All of the structured data we have about customers, the transactions, the financial data, the products they are using, even how they are using the products. All of the banks know it, all of the banks analyze it, hopefully, and all of the banks know how to deal with this kind of data. But there is a whole ocean of the data that is not structured. These are the interactions that we are having with our customers. It's voice interactions, video interactions, but even simple chat interactions. We have a lot of those. And historically, they were very hard to actually analyze. We've been analyzing them in a very, let's say, focused way, for instance, to do quality control of our conversations. But it was not really possible to do it at scale. As of today in mBank, we are analyzing all of the interactions we have with our customers. Thanks to the generative AI, we can process all of them. We can process voice, we can process text. And on a mass scale, we can draw the conclusions. On one hand, what the customers want from us, which is very important. But on the other hand, how do we serve the customers? What is the quality of our interactions? What is the quality of our conversations? And we no longer have to sample, we can analyze all of them. The other example is maybe very niche and technical, but it also shows the power of the technology. We call this -- internally, we call this product, Talk to Your Data. We have a lot of data in mBank. But on top of the actual size of the data, our data models are very, very large. And there is no living human being in mBank who knows it all. So our analysts, they spend quite a lot of time before they actually start to work with the data. They spend a lot of time finding the data in our systems. So we created a tool for them that we can use and ask the questions in the natural language. So you could ask, for instance, where can I find the information about all of the retail customers, who gave the marketing consent, but didn't have the mortgage with us for the last 20 years, but are making more than 3 transactions per month. And this tool will create a database query, and we show to the analysts where this data is in our system and how to get it. And last but not least, this is probably the toughest nut that we are trying to crack. These are the customer complaints. And why customer complaints are very tough? It's the definition of unstructured. The customers are writing us a letter, and I'm always saying this is not always a love letter to the bank. And this letter is just the pros. It describes the problem in the way the customers see fit. So we have to analyze these pros. We have to extract what is the problem. Then based on this, we need to find out what should be the solution for this problem and create steps for the person in the bank to solve the problem. And then at the end of the day, we need to actually write the response to the customers. And this response has to maybe make sense, be written according to our standards and solve the customer problem. So all of it together creates probably the toughest automation problem, I, in my career, had to deal with. And we are solving it already with the help of generative AI, and part of the customer claims already in mBank are being processed with the help of this solution.
Karol Prazmo: Krzysztof Dabrowski, thank you very much. Ladies and gentlemen, now let's shift focus from technology to people. Katarzyna Piwek is our Deputy Director, responsible for Human Resources. Katarzyna, what makes mBank's teams exceptional?
Katarzyna Piwek: Well, 2 factors. Our employees are highly engaged and driven, and there are numbers that demonstrate these qualities. First, it's our engagement score. We achieved 68% of engagement during the past 2 years, while top quartile in Poland stands -- starts at 64%. Second number speaks more to our employees' motivation to grow. Our staff completed over 20,000 future skills initiatives, not to mention all the others during the past 4 years. On the HR side, we actively support this engagement. We invest heavily in skills-based development. We care about our employees' well-being, just as Krzysztof Bratos mentioned, we care about our customers' well-being. So we provide a variety of well-being programs as well as top-tier hybrid environment. We offer competitive and transparent pay. And on the equity side, we are in a strong position. Last year, in gender pay gap, we stood at 2.9%, and we are committed to reduce it to 2.5%. With gender balance on managerial positions, we are currently at 40%, and we aim to reach the balanced distribution between 40% and 60%. What I want to emphasize is that today, we are proud to have one of the strongest employer brands in Poland.
Karol Prazmo: You spoke about our highly engaged teams. What else will we do to retain and attract the best and the brightest?
Katarzyna Piwek: Well, we aim to be the employer of choice by building on 3 strategic pillars. First, ahead of others, through our unique culture, mBank culture really is something special. It's so special that we decided to give it a special brand, mKULTURA and culture. This culture is highly attractive to people as we are top place for those who want to develop and grow, top place for people that are willing to take responsibility and take decisions. And finally, top place for those who are -- who practice dialogue and are empathetic towards the clients and each other. Second pillar, ahead of others through best talent. Given the demographic structure you mentioned, Krzysztof, in Poland, it's not only to attract the best, but also to retain them. In order to retain the best, we are investing in skills, but also make sure that our knowledge is at the forefront of innovation and at the highest standards of industry. We know that best talent naturally require an appropriate employee experience reflected in good working conditions and inclusive environment. Third pillar, the digital HR, which is taking decisions based on data. We embrace logic. We base our decisions on data when it comes to remuneration, recruitment, skills and competencies. We believe that being data-driven and therefore, logic and predictable creates a secure space for our employees. We also improved our internal processes using AI in all possible use cases. For example, performance, development, recruitment. Three pillars, but all 3 serve one purpose: to have the best team to deliver on mBank's growth.
Karol Prazmo: Thank you, Katarzyna Piwek. Ladies and gentlemen, now that we have discussed the 2 business lines, technology and human resources, let's move to finance. And I would like to invite our Chief Financial Officer, Pascal Ruhland, to the stage. Pascal, welcome. And Pascal. How will the strategic goals translate into financial performance? What do they mean in terms of balance sheet volumes, revenues and costs?
Pascal Ruhland: Thank you very much, Karol. And it's my pleasure to present you now our financial frame of the strategy. And let me start with our growth aspirations. Cezary Kocik was saying it at the beginning. We are back in a growing mode. We want to exceed 10% market share in every single of our core products. That means we need to grow faster than our competitors. What you see here is our loan volume development. And in 2024 and in 2025, we have already proven that we are capable of growing faster than the competition. And now the big question is, why do we believe this will continue? And my colleagues in the presentations beforehand gave you the answer because we, as mBank, are set up as an organic growth institution by clients, by our culture and by our infrastructure. In Retail, we can call our clients the most attractive client group of any bank in Poland by age, by purchasing power and by loan demand. To give you one fact, our clients demand for around 25% of the overall mortgage loan market in Poland. This, together with a seamless process, is the foundation for a 12% CAGR. Coming to the Corporate side. You know us as sector experts. We are focusing on sectors which are growing faster than the average. And Marek and Adam explained to you now we're following trends, trends like the energy transition, again, faster growing. This plus an additional investment in our lending infrastructure build our basis for a 7% CAGR. Let's move now from our loan sides to the deposit side. And here's one thing very visible. The main engine is Retail, with a 10% CAGR. And Krzysztof Bratos was in the strategy explaining how we do it. We focus on our clients. We want to remain with them. We want to increase loyalty and grow with them. In Corporate, we have a 4% CAGR on an already elevated market share as we already have in enterprises a market share of around 10%. Now let's have a look how this turns into our P&L. What you see here is that we expect revenues to grow between 7% and 8% on a CAGR level. What you don't see is that we expect that every single year in our strategy, we will increase our revenues. NII is fueled by the volumes which we have shown. We will have a strict focus to maintain discipline in deposit management and will overcome a dropping interest rate environment. Net fees, you see it currently in our P&L, are on a rise, and this is expected to continue. We have a broader product spectrum and we maintain growing with our clients. But obviously, there's one factor where we're decisive nowadays in banking, it's the external reference rate. We expect the NBP reference rate to drop as early as 2026 to 4%. And while I explained that we have an increased balance sheet and the rates are dropping, of course, margins are under pressure. We account for that. We expect the net interest margin to go slightly down step-by-step to 3.5% by the end of the strategy cycle. But let me tell you one thing. We are well prepared for a dropping interest rate environment. If you look into our data NII, we have barely moved since the beginning of the year. A 100 basis point rate cut currently costs us between 6.5% to 7% of total NII. And if you compare it to 2 years ago, 2023, it's 2 percentage points less sensitive. So we did our homework from a treasury perspective to stabilize our NII and increase volumes, went into fixed rate bonds and also swaps. Now going from the revenue side to our cost side. What you see is we expect a CAGR of 4% to 5% in the strategy cycle. The main driver is IT-related. And here, we increase the spending across all you have heard, digitization, automation, but also AI-related use cases. And as we know that you are interested in how we do that actually, we came up with the idea of the second part of today to show you the client look into our kitchen, the real use cases. And I just can encourage you to stay, it's worth it. In 2026, you see a steeper cost growth of 11%. There are 2 main drivers. The first one is we invest further in our people. We will grow by FTEs and also, we increased wages. And we do that with a smile, as you have heard, because this is everything we can deliver is out of our people. The second topic is regulatory cost increase. We expect that the BFG contribution and also our support fund will increase or normalize, if you want to call it like that. Now summing it up. You know us as mBank as the most efficient bank in this market, and we will maintain that with a cost-to-income ratio of at or below 35%. And this brings us in every single year in the top 3 of the country.
Karol Prazmo: Pascal, allow me to briefly shift to the risk perspective, and to our Chief Risk Officer, Marek Lusztyn. What does this strategy mean in terms of expected cost of risk and risk appetite?
Marek Lusztyn: That's clearly a question that many of you in the audience ask yourself, how much risk does it take to deliver our strategic objectives? And let me assure you that we are going to deliver them without changing our risk appetite. And now let me explain you how we are going to do it. Our risk excellence is based on 3 pillars. First of all, we want to grow intelligently, and colleagues from business lines already elaborated on the potential that mBank client franchise has for us doing so. First of all, on Retail side, Krzysztof explained the demographics of our customer base, and that demographic is not only beneficial in terms of our revenue growth, but it's also beneficial in terms of supporting us in lending growth and supporting us in our retail credit risk. Second of all, Adam explained at length the trends that we see in the economy. And those big shifts are going to be wins that will support us sailing to much higher growth in the Corporate space without taking unnecessary risk in the books. Second of all, it's resilience. Over the last 5 years, mBank has proven that we are an extraordinarily resilient bank, not only by local standards, but with all that we have gone through, we are super resilient by any international standards. We are going to capitalize on that, not only leveraging on excellent liquidity position, but also on our improving capital position that will serve not only as a cushion for safety, but also that -- as we have explained at length that will support us going back into dividend payouts. We have been exposed to the growing regulatory constraints since we are in the regulated industry. We would like to turn it into our advantage and proactively manage all the regulatory pressures that are coming in the strategic horizon. And finally, on the resilience, we are going to improve our ability to respond to nonfinancial risks since all those novel risks are the big risks that all the industry is facing. And finally, third pillar, which is efficiency. Our CEO, in his introductory speech, said that simplification is ultimate sophistication. Krzysztof explained at length what we are going to do using AI tools. And in terms of efficiency, we would like our clients to benefit from the simplified fast credit processes. And we will make sure that credit process greatly contributes to the efficiency of the mBank overall. So finally, this brings me to our strategic goal in terms of the risk management. We aspire our cost of risk to be around 80 basis points in the strategy horizon. And we are going to achieve this without changes to our risk appetite.
Karol Prazmo: Marek Lusztyn, thank you. And returning to Pascal Ruhland. Marek spoke about the trajectory for cost of risk. You spoke about the trajectory for revenues and costs. What does all of this mean for our capital return strategy?
Pascal Ruhland: Yes. Before I'm going into the capital return strategy, I want to remind us all that in Poland, we have the reintroduction of the countercyclical buffer. That means 2 percentage points, 1 this year, 1 next year, which will increase the minimum requirements. And while you keep that in mind, I would like to have all your attention now to the bar chart. What you see there is our net profit expected growth rate, so the dividend potential. What we balance there is the reinvestment and the dividend distribution. The basis of it is our high profitability. We aim for exceeding in every single year of the strategy, 22% of return on tangible equity. And we're really proud to say that we want to be back as a regular dividend payer. We start with 30%, and we go up as high as 75%. But of course, we are not working isolated. Therefore, I want now to speak about what the Minister of Finance has issued on the 21st of August, that the banking taxation would change. And yes, indeed, if you think about that, our net profit will be under pressure because if we simulate it for the next year for 2026, we would talk about an effective tax rate at mBank of around 40%, and that is massive. But while you let that sink in, please follow me once more. Look at the bar chart because what we show you here, we expect to exceed PLN 6 billion net profit. And that should give you a good sense how resilient the strategy is set up of any external change. Now going from one strategy, the capital return strategy to our balance sheet strategy. You know us, especially from an investor perspective as the bank, which is most active in the capital markets. We are pioneers. We have issued the first AT1. We have issued first Tier 2. And also, we have made the securitization market in Poland vibrant. But why have we done that? To most efficiently manage also regulatory environments. So we are used to leverage the full potential of our balance sheet to stay effective. And also in this strategy, we will do that. Therefore, we will more than double our issuance volumes. We will be active across the full stack from AT1 to securitizations. And also, while we see a growing mortgage loan book, we will return to covered bonds and make use of it. But that's not the only thing which will grow. Our capital today is around PLN 20 billion. And in the due course of the strategy, we will double that. And while we carefully also listen to our investors' feedback to run the bank prudently, to have a strong capital position, we give ourselves the target of at least 2.5 percentage points on CET1 ratio as a capital buffer to show you the strength of our capital position.
Karol Prazmo: Pascal, given the breadth and depth of what you have covered, can I ask you to summarize the strategic priorities for the '26 through 2030 period?
Pascal Ruhland: Of course, that's my pleasure. Our 6 key financial KPIs for the strategy. First, we are back in a growing mode. We will exceed 10% market share in every single of our core products. Second, we remain highly profitable and exceeded a 22% return on tangible equity in every single year. Third, you know us as one of the most efficient banks in the market, and this will stay like that for a cost-to-income ratio of at or below 35%. And this brings us in the top 3 in every single year. Fourth, a cost of risk of around 80 basis points shows a prudent credit control. Fifth, with our strong capital position, we maintain a buffer of 2.5 percentage points above the CET1 ratio minimum requirements. And sixth, we will be a regular dividend payer. We will start with 30%, and it will go up as high as 75%.
Karol Prazmo: Thank you, Pascal Ruhland. And now I would like to invite our President and CEO back to the stage for the closing remarks. Cezary Kocik, the floor is yours.
Cezary Kocik: I would like to highlight 3 of the most important things. First, we have overcome equity constraints mainly related to Swiss francs. And now we are ready to go ahead with a full speed gaining market share. Second one is that we are going to deliver to our shareholders exceptional profitability and efficiency, together with increasing dividend payment. And finally, demographic structure of our client and the engagement of our employees make mBank exceptional. Thank you very much.
Karol Prazmo: Ladies and gentlemen, this fulfills the first of our 4 agenda points for today. And now we will move to the Q&A session, and I'll take questions both from the room and from online.
Unknown Attendee: [ Joanna Kosik from CSC ]. Excellent presentation. I have one question kind of slightly obvious, you've mentioned the 10% market share increase in loan and deposits. Question to probably the CEO or whoever would like to answer. There's a lot of other banks in the market that have talked about growth prospects in Poland. Just kind of curious, who do you expect to take that market share from?
Cezary Kocik: We are not competing with any specific bank. We're just competing with the whole market. And we track very carefully strategies of our competitors. And -- but just to make you a little bit more sure that it will happen, I can say that we are probably the one bank in the whole Polish market, which has grown fully in an organic way. So the Corporate started with a white paper in 1986 and the Retail in 2000. And from that time, we're permanently gaining market share, not by acquisition, just pure organic growth. And on top of that, what I highlighted in my introduction speech is that before these problems with Swiss franc, because without equity, you can't grow, you are counting risk-weighted assets every day just to be on the safe side. But before to that time, before these constraints start to be so severe for our bank, we managed to grow in retail, as I mentioned, 2% in a 5-years horizon in Retail, in deposit and loans, and in Corporate in loans, 1.5%. This is exactly missing gap, which we need to fulfill our strategy and gain 10% market share. So it is not just a promise, which is not covered by fact, but we proved in the past that we are able to grow with such dynamic. I don't know if it's...
Karol Prazmo: Thank you, Cezary Kocik.
Unknown Attendee: [indiscernible] My question is about the Corporate income tax rate. Can you quantify the impact of the higher rate for banks on your strategic goals, specifically on ROTE, net profit and dividend payout.
Karol Prazmo: Pascal, I will direct this one to you.
Pascal Ruhland: Yes. I gave in the presentation an indication where we will lay -- if the tax currently as it was announced on the 21st of August. And in '26, we would assume an effective tax rate of 40%. And just let me explain why it's 40% and not 30%, which was in the Corporate income tax name because we, as a banking sector, have quite significant costs, which are not tax deductible. This is the balance sheet costs we are having, but also other regulatory contribution. Therefore, you see an elevation. We are not precisely naming how much impact it would be, but I want to direct you to a few of the colleagues. The analyst did a very good job. And if I'm reading the reports, they currently come up that this could cost around PLN 800 million to PLN 900 million, and we are now taking this 2026 as the most severe. And this is a good ballpark figure.
Karol Prazmo: Fantastic. Thank you, Pascal Ruhland. I'll take one question from online. There is numerous questions online. They pertain to our international presence and potential M&A. So I'll actually start with Czechia and Slovakia, and Krzysztof Bratos, with you. Can you summarize again the strategic objectives in terms of growing the Czech and the Slovak business? And the next question, Cezary Kocik, to yourself. In terms of the second part of that question, what can investors expect in terms of potential M&A? And are we looking at M&A opportunities? But Krzysztof Bratos, the floor is yours.
Krzysztof Bratos: Okay. Thank you. So I think what we've shown is the ambition for Czech and Slovakia. This is absolutely the organic growth path. And in here, we are estimating to have 1 million of active clients and doubling our loans and nearly doubling our deposits. And the main engine of that growth and the source will be this aligned platform approach that we've mentioned. So the numbers you've seen, this is the assumption on the organic growth in Czech and Slovakia through the corporation in Poland. And I'll hand over for the second part to Cezary.
Cezary Kocik: Of course, as a Management Board, we have very carefully observed the market. But for all of you who knows very well Polish market, the situation is quite complicated because almost 50% is -- there are banks with a significant stake of government. So that are rather -- and they are also big banks, so they are not potential target. And the rest have a very big financial investors. So honestly, I believe that if they are mergers in Poland, they rather trigger by the agreement between the major shareholders, not by the Management Board. But still, we are observing it very carefully. And if we believe that something fits to our model because we also need to remember that some merger destroy value. We need somebody or a bank with a similar customer profile, a similar distribution channel that the synergy will come to life, not -- we will be stuck in a permanent integration. So we will take a decision. But as I said, there is many obstacles. It's not very probable. And this is the reason why our strategy is based on organic growth, not on mergers and acquisitions.
Karol Prazmo: Thank you, Cezary Kocik. Yes, go ahead.
Kamil Stolarski: Kamil Stolarski, Santander Bank Polska. Congratulations on the strategy, especially of the market gains aims. My question is on the other side of the P&L about the cost in 2026. And I wonder if you could share some comments because it seems that the cost will outgrow revenues? And how do you justify this in 2026? And then the other question is about CapEx. Does this strategy involves also higher CapEx?
Pascal Ruhland: Thank you for the question. I alluded in the presentation that the 11% increase on the cost side are driven especially twofold. First of all, by investing in our people. And why we grow in FTE, we are doing that twofold. First of all, business orientated, IT orientated, therefore, because we are serving our customers. And secondly, it's also compliance related. For instance, DORA as a regulation demands more from us. That is one part of the pillar. The second part of the pillar is regulatory costs, which we also expect to increase. And that is the second driver. And if you -- because you alluded to that costs are growing faster than revenues, our expectation is that the interest rate will go down to 4% on the NBP as fast as 2026. So you will have to overcome that. We also sent the signal, I said it, that we will grow revenues despite this interest rate drop. And the cost will be adjusted. Long term, you see that our revenues from the 7% to 8% CAGR very much outperformed the 4% to 5% CAGR on the cost side. On the CapEx, Yes, of course, we will increase our CapEx level because in the future, as the colleagues were explaining it, it's about IT capabilities. How smart can you really apply and how fast to especially increase effectiveness for your clients. So it's not about -- and we, therefore, invite you for the second session today. It's not about just applying AI, it really needs to be useful. Our CapEx is expected to grow by more than 16% in the due course of the strategy.
Karol Prazmo: Thank you, Pascal Ruhland. Now I'll take another question from our online participants, and I'll direct it to Krzysztof Dabrowski. Krzysztof, the question relates to artificial intelligence. And can you give us examples of how AI will translate into operational efficiency? And can it potentially lead to lower costs?
Krzysztof Dabrowski: Okay. So one of the examples of using AI to have some operational efficiency would be what we are doing in the AML area. This is a particular cost area that is growing rapidly because of the requirements that we have to fulfill. And in particular concern that we have is the analysis of the customer transactions from the perspective of money laundering. And in that area, the costs have been growing so far because we had to build the team and we had to do our obligations. But what we've been able to do with the help of AI was to significantly mitigate this growth. So what we initially assumed would be the FTEs necessary to just cover the retail transaction monitoring, thanks to our AI solution, we've been able to also cover Corporate Banking. We have been able to cover international money transfers in SWIFT and also our Czech and Slovak branch. So that was a significant investment and significant reduction in the effort. So this is what we are doing. We are removing the effort from the system. Because the bank is growing very fast, we need also to handle the organic growth. I think the word organic was used many times in our presentation. So our ambitious target is to keep up with this growth without increasing the cost on the operational side, and this is how we apply the AI. In many other places, the AI can be used for the things that were so far not easy target to automate. It's not the best tool to do things in a repeatable manner. If something can be done in a repeatable manner, you can do it with traditional method and you get predictability. AI is much more suited in our opinion to the things that are not easy subject to those things like, just to give you an example, comparing 2 documents, 2 scans of documents, which for the moment, require human beings and can be right now done with the AI. So you can expect us investing in this area. This is factoring in our cost base at the moment, certain assumption about the productivity gains.
Karol Prazmo: Thank you, Krzysztof Dabrowski. Pascal Ruhland, I'll take one more question from online. And I want to direct it to you. The question relates to what is embedded in our forecast with respect to GDP and interest rate forecast. And also with respect to the growth expected for total revenues, can you break it more down into NII and NFC?
Pascal Ruhland: Okay. So the GDP forecast, which I didn't mention specifically, but you will find it in our paper deck, which is uploaded right now, is between 3.6 and 3.8, and we expect to have GDP growth year-on-year throughout the strategy. And as I said on the interest rate, we expect that the interest rate is dropping down to 4% as early as 2026 and has then a stable state. When we then think about the revenues, and here I explained that we are growing from a CAGR level between 7% and 8%, and from today's split between NII and NFC, which is an 80-20 split, we expect that net fee and commission income is slightly faster growing than NII, but just slightly. And in the end, it will be a bit shifting the 80-20 split, but not massively.
Karol Prazmo: Thank you, Pascal Ruhland. And I'll take one final question from the room here. Is there any? Okay. Then in that case, we will -- we conclude with the Q&A session, and I pass the voice over to mBank's Head of Investor Relations, Joanna Filipkowska, who will now lead the demo session. Joanna, over to you.
Joanna Filipkowska: Good morning, ladies and gentlemen. The purpose of this demo session is to provide you with concrete examples of some of our exciting solutions that we are implementing as part of this strategy. Today, we will show you 5 use cases in which we already have significant advancement. First, you will see a short video, and then one of our Board members will provide further details. The session will last 20 to 25 minutes. After the end of the session, we will again have 10 minutes for Q&A. So please get your questions ready, both here in the room and online. The session will be led by our 3 Board Members: Mr. Krzysztof Dabrowski, Mr. Adam Pers and Mr. Krzysztof Bratos. We will start with our Gen AI program. Krzysztof Dabrowski, Vice President of the Management Board for IT and Operations, the floor is yours.
Krzysztof Dabrowski: So I've been talking about 3 of the solutions that came out of our incubator, and we prepared for you a demonstration of those 3 plus 1 more as a bonus. So let's start. [Presentation]
Krzysztof Dabrowski: Okay. I hope you like what you just saw. And also, as I mentioned, this is just the things that we either already have in production or will soon have. We have so much more in the store. So keep watching us.
Joanna Filipkowska: Thank you very much, Krzysztof. Now we will turn to our Corporate Banking. Adam Pers, Vice President of the Management Board for Corporate and Investment Banking. Let's start.
Adam Pers: Thank you so much. I was talking about the tools that we will see in a second in a movie, that will be a true movie. But our ambition is not just to show technology, show the tools that can bank. I think the word banking, bank as a word is something like old fashion. We like to implement the tools that will help our customers and our employees as well to use in their daily, routine daily operations, to help also to build a competitive advantage to our customers. So please enjoy. [Presentation]
Adam Pers: Yes. And I will not repeat what was on the movie. Just 2 closing comments. The first one is that, what Krzysztof said that some of them are already in production. The second thing is that for the time being, we are, I would say, producing only what we receive from customers, the feedback and the expectations. Thank you.
Joanna Filipkowska: Thank you, Adam. We've shown you 2 exciting use cases from our technology and corporate banking areas. Now let's turn to Retail Banking area, where we have 3 use cases to share with you. Krzysztof Bratos, Vice President of the Management Board for Retail Banking, the floor is yours.
Krzysztof Bratos: Thank you. In our strategy, we plan to evolve from being an exceptional transaction bank. And in that, we promised to take care of those more complex products for our clients. But while doing so, we want to stay true to our purpose, simplifying finances, bringing goals to life. Emerging complex products in simplicity is not that easy, but we took on that challenge. And this is how we reimagine the mortgage experience. [Presentation]
Krzysztof Bratos: And I can say that this is definitely not just a vision. It's a solution of which first stage went live already 2 weeks ago for one of our scenarios. And that 15 minutes that we promise, we've actually managed to issue a full credit decision last week in 6 minutes and 31 seconds. That is including credit worthiness check, legal checks and the valuation of the property for the real client in the real life and most stages will follow. Now moving to the second video. We believe that transitioning and taking care of the more complex scenarios doesn't mean that we'll forget about what is core. And in there, not everything is simplified and not everything yet is made truly, truly easy. And here is what we took on in one of our super segments, in SME, something that probably doesn't exist on the market yet. [Presentation]
Krzysztof Bratos: And finally, the very heart of mobile banking. Let the video speak for itself. [Presentation]
Joanna Filipkowska: Thank you very much, Krzysztof. Ladies and gentlemen, this completes this demo session. And at this point, I would like to open the Q&A session, which will be hosted again by Karol Prazmo.
Karol Prazmo: Thank you, Joanna. So we're opening up to the questions. Please get those questions ready, and please put your hands up. And while you do that, I'll actually start with the first question from one of our online users. Krzysztof Bratos, the question is directed to you. In terms of the digital mortgage, is this for one borrower? Is this for several borrowers? And if it's not available for several borrowers, when do you think that functionality will be available?
Krzysztof Bratos: Okay. So I think there are digital mortgages and there are digital mortgages. There are companies that will create a mobile interface that will allow you to file a mortgage application, and that can be called digitally. We went a different path. We decided that in order to keep our efficiency operations and our costs, we invested firstly heavily in our backbone. In AI-supported valuation models for the real estate, the automated legal checks, the automated credit worthiness. And this is something that took us quite a while to build. And thanks to that, as I said, we can do that now in 6 minutes and 31 seconds. And now we are now expanding and building on that foundation to the more and more scenarios. The scenario that we went live with is just the refinancing for the ones -- for the single borrower. But as soon as still this year, we are planning to add the new mortgages for the single borrower and the more complex scenarios like the more than one borrower are planned for 2026. So I would say most of the agenda, we should explore and most of the key scenarios in the next year to come. But the first, the foundation is there, and the first scenario is there and is fully operational.
Karol Prazmo: Thank you, Krzysztof Bratos. And do I see any hands up in the room with respect to questions? Then I'll take another question from online. And Krzysztof Bratos, in terms of the phone acting as a payment terminal, is this already available to everybody today?
Krzysztof Bratos: No. But it will be and it still be as early as this year. And we are sure that it's going to change the experience of a lot of our customers. Now when building and when thinking about the solution, the first idea actually was to try to embed our app and connect our app today external point-of-sale devices or software point-of-sale devices because those 2 exist on the market. But then we thought, while integrating, why wouldn't we can turn our app into something that is a true point of sale in one go with a fully integration of our accounting system. And therefore, this is something that we believe is very, very new. It's in a very advanced stage of development and is expected still this year.
Karol Prazmo: Thank you, Krzysztof. Is there any questions here in the room? Okay. In that case, ladies and gentlemen, this concludes today's event. We thank you very much for joining us here in the room. We also thank you very much for joining us online. And now for the participants here in the room, we invite you to lunch. Our Board members will be available for another hour. So please take the opportunity to have all those informal conversations. Thank you, and have a great day.